Operator: Good morning, my name is Regina and I will be your conference operator today. At this time I would like to welcome everyone to the Lindsay Corporation first quarter 2008 conference call. (Operator Instructions) During this call management may make forward-looking statements that are subject to risks and uncertainties and which reflect management’s current beliefs and estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations at the company and those statements preceded by, followed by, or including the words expectation, outlook, could, may, should or similar. For these statements, we claim the protection of the safe harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Mr. Rick Parod, Chief Executive Officer.
Rick Parod: Good morning and thank you for joining us today. Revenues for the first quarter of fiscal 2008 were $75.9 million as compared to $51.5 million for the same prior year quarter. Net earnings rose to $4.4 million or $0.36 per diluted share compared with $1.8 million or $0.15 per diluted share in the prior year’s first quarter. In the domestic irrigation market, revenues were $34.6 million for the first quarter increasing 34% from the same quarter last year. At the end of the quarter commodity prices for the primary agricultural commodities in which our equipment is used remained very strong. Corn prices are up more than 8% over the same time last year. Soybean prices are up more than 70%, wheat has increased more than 80% in price per bushel. Net farm income is projected to be up 48% in the ‘07/’08 crop year achieving a record $87.5 billion, creating very positive economic conditions for US farmers. Corn usage for ethanol production for the ‘07/’08 crop year is estimated to be 25% of production rising to more than 30% for the ‘08/’09 year. Corn exports are estimated to be at record levels for the ‘07/’08 year, all continuing to support high corn prices. International irrigation revenues were $21.9 million for the first quarter up 79% over the same period last year. Exports to the Middle East, Australia and New Zealand were significantly higher in the quarter. In addition, we’ve seen strong growth in our sales from our business units in Brazil and South Africa. The higher global commodity prices have improved economic conditions for growers in most international markets boosting demand for efficient irrigation technology. Infrastructure revenues rose to $19.4 million up from $13.6 million in the first quarter last year with most of the increase attributable to the inclusion of Snoline, acquired in the second fiscal quarter of 2007. Barrier Systems revenues were flat in the quarter, however, the order backlog at the end of the quarter was close to double the backlog as the same time last year. We continue to see strong domestic and international interest in Barrier Systems’ moveable barrier and crash cushion product lines. During the quarter we acquired a product line of truck mounted attenuators (TMA) which have been added to Barrier Systems product offering. The addition of this road safety product line further enhances Barrier Systems product offering, improving project sales opportunities and their ability to attract premium dealers in the road safety market. Our diversified manufacturing business which includes our contract manufacturing and commercial tubing activities was up more than 34% in the quarter over the same quarter last year. We continue to experience growth in this business with value added products and services. Gross profit rose to $19.3 million for the first quarter, versus $12.5 million in the same quarter last year. Gross margins climbed in the quarter to 25.4% compared to 24.2% for the first quarter last year. The gross margin improvement primarily resulted from significant strengthening in irrigation margins due to stability in input costs, improved pricing and improved factory utilization over the first quarter of last year. During the quarter, infrastructure margins decreased, partly due to the inclusion of Snoline, the road safety products business in Milan, Italy. The past two quarters, we’ve experienced lower selling margins than expected at Snoline due to a mix of more road marking tape sales versus higher margin engineering products. An action plan is in place to improve the product mix and overall performance of Snoline. Snoline is expected to be an important cornerstone for our participation in road safety products including moveable barrier in Europe. Total operating expenses for the quarter were $12.8 million versus $9.9 million for the same quarter last year, primarily due to the inclusion of Snoline and personnel related expenses. Our order backlog rose to $51.2 million on November 30, 2007 as compared to $24.6 million on November 30, 2006. The irrigation equipment backlog was up approximately 120% due to stronger demand in both the domestic and international markets. Infrastructure backlog is up more than 90% due mostly to higher Barrier Systems orders. Accounts receivable increased $13.9 million from the same time last year due to the inclusion of Snoline and higher revenues. Inventory has increased $20.3 million over the same time last year due to the inclusion of Snoline, higher inventories at Barrier Systems to support planned growth in current projects and to build an irrigation inventory in support of the upcoming selling season starting in January. In summary, strong agricultural prices have created better economic conditions for farmers, which in turn is resulting in growth in capital goods purchases such as irrigation equipment. We’re pleased with the continued strengthening in irrigation equipment demand in both the domestic and international markets. Our irrigation equipment dealers are optimistic about the upcoming selling season and expect real unit growth over the previous year. Recently our new product, FieldNET, the web based irrigation management system won an award from the Irrigation Association for the best new agricultural irrigation product. You should expect to see continued organic growth in our irrigation equipment globally, with new products like FieldNET, as well as product line extension and additions through acquisition. In our infrastructure business, we’re pleased with the strength of demand and interest in Barrier Systems’ unique movable barrier product line. We’ve also achieved growth in revenues and selling margins in our diversified manufacturing business. In addition, our lien implementation is progressing well in our Nebraska factory, and while we see lien as a continuous journey, we expect notable improvements in fiscal 2008 from the implementation of lien. I’d now like to open it up for your questions.
Operator: (Operator instructions). Your first question will be from the line of Ryan Connors of Boenning and Scattergood.
Rick Parod: Hello Ryan.
Ryan Connors – Boenning and Scattergood: Yes, Rick, can you hear me?
Rick Parod: Yes, yes, good morning.
Ryan Connors – Boenning and Scattergood: Great, well congratulations on an outstanding quarter. First off, I wondered if we could break down the revenue growth, both domestically and internationally, on a price versus volume basis, at least in rough terms.
Rick Parod: Well, I think the revenue break out between domestic and international is identified, and rather than breaking out the price and volume between those two pieces, what I can tell you is that of the irrigation revenue growth, two-thirds of it would be unit growth, and a third of it would be price, year over year.
Ryan Connors – Boenning and Scattergood: Okay, that’s perfect. And then I just wondered, obviously, the revenue growth was phenomenal, I wondered if you could talk, without getting into the numbers and guidance and so forth, just if you could talk qualitatively about how sustainable you think these types of revenue growth numbers are into the future in terms of demand.
Rick Parod: Yes, I think a couple of points that I would make along that line Ryan, would be that one, the first quarter is really not - we’re not into our primary domestic selling season yet, so it’s hard to project from the first quarter domestic demand. However, what we did see in the first quarter in demand in orders was stronger than what we’ve seen in the past, as was indicated in the revenue and in the backlog. So I would say it’s a very good indication and we’ve anticipated a strong domestic demand given what the Ag. equipment manufacturers have seen in the past, and we anticipated a lag impact on our business. In the international markets, we’re seeing continued strong demand in specific projects that are appearing throughout the world, whether it’s in Middle East, or now Eastern Europe, really in many places throughout the world. But in addition, we’re also seeing a recovery in Brazil and Africa, which we had not seen up until this past quarter. So I’d say in general, there’s a lot of really good indication, however the real indicator for the domestic market is probably more in what we’re seeing in that backlog and in what happens, starting say in January, in terms of order flow.
Ryan Connors – Boenning and Scattergood: Is there a point, Rick, at which capacity becomes an issue, with these types of real dramatic revenue gains?
Rick Parod: Well, there certainly is a point at which it becomes an issue, however I’m not anticipating a capacity constraint at this point. It really does depend on how the order flow comes in, and what the demand is, say in early spring and where that demand is. We have a lot of worldwide capacity, meaning our international businesses have quite a bit of capacity to handle the kind of order flows that they’re seeing. Domestically, we projected a stronger year, we anticipate a stronger year, and we believe we can handle it from a capacity standpoint.
Ryan Connors – Boenning and Scattergood: Okay, now in terms of, I know you have competitive concerns and so forth, but to the extent you can, I wonder if you could dive into the pricing situation a little deeper, what types of, what kind of environment you’re seeing on pricing, what the competitive environment looks like at the moment? I know that there’s been a perception out there that Lindsay’s kind of play the roll of price leader, I wonder if you could talk to whether or not you would concur with that, and any color you can give around the competitive situation would be helpful.
Rick Parod: Well I guess the term price leader depends a little bit on the perspective in which you mean it, whether it’s in low price leader or high price leader. We believe that we have tended to lead in passing through price increases. There have been times when we’ve heard from a competitor that they thought we were leading in being on the low end. I don’t think we are ever in that position, we do have one other competitor domestically who does tend to be at that low end. And occasionally, as we saw in probably the 2005 time period, that gap between us and the lower end, lower priced competitor would get a little bit vague and we could see share shift at that point. Now what we’ve seen in the last year to 18 months I’d say is good pricing discipline across the board, and a fairly steady share position, so I’d say I would expect to see that continue, that we’d see good pricing discipline.
Ryan Connors – Boenning and Scattergood: Okay, so with regard to actual magnitude of what kind of price increases you’re seeing, are they single digit, are they double digit?
Rick Parod: Generally we’re seeing single digit, and then maybe even in low single digit moves at a time in terms of price moves.
Ryan Connors – Boenning and Scattergood: Okay and just a few more. Just on the profitability side, obviously the revenue numbers look strong, but the gross margins don’t really appear to be showing too much leverage. I wonder if you could talk about the issue of operating leverage and whether, as the cycle plays out, we should see margins - whether we will see margins at some point take a leg up or if sort of the mid to high 20s is as high as you see them going. I would say first, if you listen a little to a couple of different points, and one of them that I covered in the script, we did see really good gross margin improvement in irrigation. We did see some decrease in the gross margin in infrastructure, so I think there’s a bit of a mix factor that’s pulling down the gross margin appearance in the first quarter. So I’d say I’m very pleased with what we’re seeing in gross margin movement in irrigation. And I think it’s a combination of pricing, it’s a combination of more stable input costs such as steel and we have seen decreases now in Link, and cost reductions and changes that we’re making internally that have really improved those irrigation margins, I think fairly significantly year over year. So I would expect, and coming back to your question, I don’t believe that it’s completed, I expect to see continued improvement, but we are seeing very significant improvement in the irrigation margins.
Ryan Connors – Boenning and Scattergood: And then just a couple things on the financial side. First off, obviously you mentioned that the jump in accounts receivable, a big part of that is on the infrastructure side with the acquisitions, but assuming a portion of that is also in the irrigation business, can you give us a breakdown of your domestic accounts receivable bill versus international in irrigation, and talk about whether there’s any sort of a collection risk associated with any of those items?
Rick Parod: Well rather then breaking it out, I think it’d be probably more appropriate to add a little color to it from the standpoint of the DSO, and I’d say that we did, and I think it’s noted in the slide that you can see an improvement in day sales outstanding in receivables year over year from last year to this year. I would say that from an international standpoint we’re going to typically run longer day sales outstanding in receivables and it’s probably in the 90 day range, and Dave you can jump in if that’s incorrect, and domestically it will be lower. The other would be that I think we’re in pretty good shape in terms of our receivables in total and we’ve got adequate reserves to cover anything we consider to be at risk, so I think that we’re in very good shape from a receivables standpoint.
Ryan Connors – Boenning and Scattergood: And then that leads to the final one which is that more generally at this point in the cycle it seems like networking capital needs are high, you talk about the inventory and so forth, as the cycle plays out is there a point at which you begin to ring some of that cash out of the balance sheet and free cash flow improves and if so kind of what time frame do you think about for when that might begin to occur?
Rick Parod: Absolutely there is. I really don’t like to inventories this high, but there’s a couple of factors that come into play. One is with Barrier Systems, if you recall, we talked last quarter about a large Puerto Rico project of roughly $13 million, and part of that has been shipped, but there’s still a fair sized amount, probably half or more that’s still in backlog to be shipped. In addition there will be more project orders that come in for Barrier Systems and that of course has built some inventory for that project. So we’ll see some of that inventory build on the infrastructure side. In addition to that, this is the beginning of the season, our anticipation, or let’s say the build for the season, so we are having some inventory build for the irrigation season for production right now.
Ryan Connors – Boenning and Scattergood: Well that’s all very helpful. Congrats again the great quarter, and thanks for all the color. Happy holidays.
Rick Parod: Very good, thanks Ryan, same to you.
Operator: Your next question will be from Scott Macke of aAd Capital.
Scott Macke – aAd Capital: Good morning.
Rick Parod: Good morning.
Scott Macke – aAd Capital: First question, and I apologize if you gave this already, but I was just hoping to get the operating margin breakout that you typically provide in the quarter, between irrigation and infrastructure for the quarter.
David Downing: We will see irrigation segment operating margin at 16.1%, which is a little higher than we were for last year, and we will see infrastructure margin at 18.4% which will be a little bit lower than we saw last year as Rick just commented.
Scott Macke – aAd Capital: Thank you, and I was also hoping, just within the infrastructure segment, if we could talk just about the - what I also want to get at is just the underlying organic growth profile of Barrier Systems and Snoline and some of the recent acquisitions, and maybe it would be helpful as a starting point if you could help us out just with the organic growth in the infrastructure segment in last year’s fiscal year as well as the first quarter, and if you don’t want to give precise numbers then just give us an idea of what organic growth was last year and in the first quarter of this year.
David Downing: Well we talked, at the end of last year with our fourth quarter call and full year call, that we did not see significant unit volume growth in the irrigation side of the business, and this year we’ve seen about two thirds of that growth on the irrigation side being unit volume, so we are seeing nice unit volume through the first quarter of this year.
Scott Macke – aAd Capital: I’m sorry, I think I misspoke, I meant in the infrastructure side and not the irrigation.
Rick Parod: You did. And I think we really haven’t broken out the infrastructure growth, I think it comes back to if you looked at when we acquired Barrier Systems, which we bought a year ago this past June, the revenues were approximately trailing roughly 20 million revenue. So if you were to look at our infrastructure business, I would really refer you back to the quarters on this to look at the year over year growth in the infrastructure segment, I don’t have that information handy right now.
Scott Macke – aAd Capital: And what was the trailing run rate on Snoline when you purchased that?
Rick Parod: Roughly, revenue was roughly about 13 million Euros.
Scott Macke – aAd Capital: Thank you, that’s helpful. And then just in terms of generalities, what sort of organic growth profile do you expect these companies to have over the next say one to three years? And then I also want to get a better understanding of the seasonality that we might expect in the infrastructure segment going forward.
Rick Parod: Yes, we haven’t really made anything public in terms of projecting out growth or any real estimates for the infrastructure or really giving any guidance on the business in total from a growth standpoint, so I’m hesitant to do that on the infrastructure piece as well. I would say however, what we saw was very significant growth opportunities with Barrier Systems in the movable barrier product line; and also in road safety. Just to kind of tie that back to the Snoline piece of it, there’s new regulations that have been passed in terms of some road safety requirements and that are being considered as road safety requirements in Europe. Snoline can be very key in providing the crash cushions and types of barrier that would be applied in those applications. We see Barrier Systems and Snoline playing a very key role in terms of road safety products in Europe in total. And believe that there are some significant growth opportunities there. But in addition, Barrier Systems itself with their movable barrier was not very well known and their barrier wasn’t very well known outside of the US. And what we’ve seen already since the acquisition is an expansion of that to where we are getting projects in Europe, projects in Brazil that we’re starting. We have the project in Puerto Rico that we were just recently awarded and many others. So we’re expanding that international presence. So I guess I’d say or sum it up by saying that I believe that there’s very significant growth opportunities with the movable barrier product line and road safety products.
Scott Macke – aAd Capital: As we think about modeling the segment going forward, how should we think about the seasonality of those two businesses, Snoline and Barrier Systems?
Rick Parod: Well a portion of Barrier Systems and Snoline revenues are going to come during a peak growth construction season, we’ll say spring-summer months because while that’s when the road construction will be taking place and they will be putting in the crash cushions plus a portion of Barrier Systems’ revenue will come from leased barrier and trucks moving the barrier for those road construction projects. So I would see the peak of this season for them being the spring-summer months.
Scott Macke – aAd Capital: If I think of that in terms of the peak would I expect something like 60% or 70% of revenue for the year to come in those two seasons?
Rick Parod: I’m afraid I really can’t split that out for you, right now. I just don’t really have that handy, and I really can’t make that projection at this time.
Scott Macke – aAd Capital: That’s fair enough. And also I want to kind of understand the underlying demand drivers for that in terms of the types of projects that Barrier Systems go into. Are these projects that tend to be two to three year projects from planning to implementation that are tied to highway build funding or can these be one-off projects that a city would decide to do and be triggered in say a year or so?
Rick Parod: It is a combination of the two because a portion of it will be sold through their dealers and could be one-off type projects and any type of growth construction projects going on. When you’re looking at the movable barriers they’re probably going to be more likely two to three year planning type projects. And the implementation of it, let’s say it’s a leased barrier project, could be a two month to two year project and they could have the barrier out on lease. And if it’s a sale, that could occur at any time. For example, a lot of the installations on bridges or traffic mitigation, traffic congestion, could occur at any time, and may not have a real long lead time or notice to that. The majority of it will probably be longer time periods and more of the two to three year project types.
Scott Macke – aAd Capital: Great, thank you, and one more, I appreciate all your time this morning. It’s just on the irrigation side now. You talked about this earlier in terms of capacity. Did you implement programs or try to shift, did you incentivise your dealers to take product away from peak in order to help work around capacity issues? As we look at the segment results is there an element to that or is this just a function of the end market being that much stronger?
Rick Parod: We do have some programs from time to time from the beginning of a fiscal year or let’s say the end of a fiscal year we will have some type of a dealer stock inventory kind of program to give them an incentive to take some inventory in anticipation or pre-season so it takes a little bit of the load off the peak. Generally by the way, that’s a very small percentage of the total revenues and I’d say less than 10% of the season, in fact less than 5% will go out in that kind of a season build. And generally the dealers at this point would not have much of that in their inventory at all. And a dealer would typically, if taking machines, would have one or two machines in pre-season, in anticipation of that season, but it’s a very small amount.
Scott Macke – aAd Capital: Thank you very much for your time.
Rick Parod: You’re welcome.
Operator: (Operator Instructions) You‘re next question will be from James Gentile from Newland.
James Gentile - Newland Capital Management: Hey guys, how you doing.
Rick Parod: Good James, how are you.
James Gentile - Newland Capital Management: Excellent, your international performance during their seasonally strong quarter was actually quite strong, but I’m surprised the degree of operating leverage didn’t show up even stronger on the earnings one. What were some of the [present] impediments at this level of volume? I mean, historically you’ve been able to achieve higher gross margins on much lower sales volumes. And your SG&A engineering expense actually took a leg up, obviously a proportion of that is variable to the international pickup. Help me understand why Lindsay didn’t enjoy greater operating leverage in the quarter.
Rick Parod: Well part of it James, I’d go back to the, as I mentioned earlier about the growth margin mix issue. The irrigation margins were very strong in the quarter year over year. There is a little bit of a decrease in the margins in the infrastructure side, partly from Snoline. The Barrier Systems - Snoline mix pulled down those margins somewhat.
James Gentile - Newland Capital Management: By what factor though?
Rick Parod: I don’t think I can answer that specifically since we’re not really disclosing the specific margins by the segment change.
James Gentile - Newland Capital Management: Okay, because the lion share of the revenue contribution comes from irrigation so if you enjoy higher mix one would assume a greater gross margin leverage would be enjoyed. And I was just wondering if there were any kind of inefficiencies in some of the southern, perhaps in the facility in South America, or anything that you’ve identified that perhaps could or could not be fixed. Or was it a function of Lindsay being aggressive on price?
Rick Parod: No, I wouldn’t really define it as any kind of an inefficiency. We haven’t really seen any real specific inefficiency that came out from analysis or what we found in the quarter. As far as price, the price in some of the international markets, particularly where our business units are, the competitive environment may be different but our competitive position, in terms of how we price is very much the same. In other words we tend to be towards the high end but it may be a more competitive environment in some cases than - it certainly is in a few cases - than it is in the domestic market. But outside of that I wouldn’t say its Lindsay trying to buy share or be more aggressive in any way in any of those international markets. I’m very pleased with what we saw in the growth and irrigation market.
James Gentile - Newland Capital Management: Great. With regard to pursuing the acquisitions strategy, wouldn’t it be prudent for Lindsay to start using equity as a currency give the extraordinarily rich multiple awarded to the company right now relative to historical levels.
Rick Parod: We consider all options when it comes to the acquisitions whether it’s using equity or debt, or any form, James. We consider all of those. Really it comes down to the specific acquisition opportunity and how we can make that take place.
James Gentile - Newland Capital Management: Right.
Rick Parod: And I’d add on acquisitions too because I think it’s important to note if you look at the history in terms of what we’ve added recently there’s been more in the infrastructure business and that is not the strategic plan to just build out infrastructure. The plan is to build out both of our segments of the business, irrigation and infrastructure. So I think any investor should really consider, or look at it from the standpoint, that you can expect acquisitions in both of those segments.
James Gentile - Newland Capital Management: What type of acquisitions would Lindsay pursue in the agriculture area?
Rick Parod: We look at it more in terms of irrigation or water management piece of the business and you could expect acquisitions that would be through that water management aspect which could be valves or filtration, or pump systems. Things like that that could be either leveraged through distribution or could be leveraged on our international projects.
James Gentile - Newland Capital Management: Isn’t that sort of in a competitive area, lots of other players with more, larger players, that are looking in that same end market? Could you characterize the type of sizes of the candidates you’re looking at in that area?
Rick Parod: The candidates we’d look at - an ideal candidate from a revenue standpoint may be 50 million in revenue we would add. However the candidates we would typically be looking at would be 15-50 million in revenue. And what we are really looking for and have found are ones that are strategically important, where they really give us an advantage in a marketplace or add a strategic opportunity for us. And it’s something that we can leverage, as I said, through manufacturing or distribution or very significantly through international projects.
James Gentile - Newland Capital Management: Great, and then a final question on the domestic market. A competitor articulated that there has historically been incentive given to a farmer from a pricing perspective in the domestic market to kind of place orders during the seasonally slow period to ensure delivery ahead of the growing season. And one of the competitors, I talked to both of them, articulated that the selling season in the domestic market was slightly muted, even giving the pricing concessions that have been given. I was just wondering if there is the expectation that domestic demand could accelerate and we’re growing backlogs of a very low base here a quarter of a quarter, I was wondering if you could characterize Lindsay’s behavior in this period of reasonable incentives if you will?
Rick Parod:
James Gentile - Newland Capital Management: I’m just quoting what I’ve heard.
Rick Parod: Right, and I think if you were asking them could the market get significantly better I think yes, and we really don’t know where it will go until the season really starts. But as we’ve said in the past, we expected unit growth over last year and I believe that as we’ve also said in the past that we expect to see this increase take place over a couple years, not all in a one year time period.
James Gentile - Newland Capital Management: Of course. But I mean we’re through a period of analysis, last year was new, a lot of farmers logged in their lower grain and corn prices before and now here we’re at a more sustained higher commodity price level. Wondering if, I mean, I guess logically I’m thinking if I were a farmer wouldn’t I want a cheaper system here during this period of the year to ensure that I would have my system in place for the growing season? I was just surprised the back log wasn’t up higher. Well look as last year was extraordiarily muted across the industry.
Rick Parod: Yeah, I think that was a question I probably can’t answer or I already have answered from the standpoint of we haven’t really seen anything extraordinary in terms of incentives offered, and yet we’ve seen much better demand than we saw last year in the early part of it. But again the real telling part for us in the season is the next quarter.
James Gentile - Newland Capital Management: Okay, great.
Rick Parod: Thanks.
Operator: (Operator Instructions) Your next question will be from Ryan Connors from Boenning and Scattergood.
Ryan Connors - Boenning and Scattergood: Hi guys this is a quick follow-up on a data point. Do you have a number for foreign currency contribution either in dollars or in percentage terms of revenue?
Rick Parod: On the revenue side Ryan, it was very small. Somewhere in the slightly higher than 1% range, is all.
Ryan Connors - Boenning and Scattergood: Okay, that was all. Thanks again.
Rick Parod: Thank you.
Operator: And there appear to be no further questions at this time
Rick Parod: In closing I’d add that for our business overall the global long-term drivers, water conservation, population growth, increased importance of bio fuels, and improvements in infrastructure remain very positive. In addition to the overall business enhancements that have taken place we continue to have an ongoing structured acquisition process that will generate additional growth opportunities across the world in water and infrastructure. Lindsay is committed to achieving earnings growth through global market expansion, improvements in margins, and strategic acquisitions. We continue to have the financial flexibility to create shareholder value by pursuing a balance of organic growth opportunities, strategic acquisitions, share repurchases, and dividend payments. We’d like to thank all of you for your questions and participation in this call and we wish all of you a very happy holiday season and prosperous new year.
Operator: This concludes today’s Lindsay Corporation first quarter 2008 conference call, thank you for your participation.